Operator: Good morning, and welcome to the IDEXX Laboratories Fourth Quarter 2025 Earnings Conference Call. As a reminder, today's conference is being recorded. Participating in the call this morning are Jay Mazelsky, President and Chief Executive Officer, Andrew Emerson, Chief Financial Officer, and John Ravis, Vice President, Investor Relations. IDEXX would like to preface the discussion today with a caution regarding forward-looking statements. Listeners are reminded that our discussion during the call will include forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from those discussed today. Additional information regarding these risks and uncertainties is available under the forward-looking statements notice in our press release issued this morning as well as in our periodic filings with the Securities and Exchange Commission, which can be obtained from the SEC or by visiting the Investor Relations section of our website, idexx.com. During this call, we will be discussing certain financial measures not prepared in accordance with Generally Accepted Accounting Principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is provided in our earnings release, which may also be found by visiting the Investor Relations section of our website. In reviewing our fourth quarter 2025 results and 2026 financial outlook, please note all references to growth, organic growth, and comparable growth refer to growth compared to the equivalent prior year period unless otherwise noted. To allow broad participation in the Q&A, we ask that each participant limit their questions to one, with one follow-up as necessary. We appreciate you may have additional questions, so please feel free to get back into the queue. And if time permits, we'll take your additional questions. Today's prepared remarks will be posted to the Investor Relations section of our website after the earnings conference call concludes. I would now like to turn the call over to Andrew Emerson. Good morning, and welcome to our fourth quarter earnings call.
Andrew Emerson: Today, I'm pleased to review our Q4 and full year 2025 financial results and the company's outlook for 2026. In terms of highlights for 2025, IDEXX delivered excellent financial performance in Q4, driven by double-digit top-line gains. Revenue increased 14% as reported and 12% organically, supported by 10% organic growth in CAG Diagnostics recurring revenues. We achieved record premium instrument placements in Q4, with strong gains across our major platforms, including over 1,900 IDEXX InVue DX placements, supporting a 69% organic year-over-year expansion of our CAG Diagnostic instrument revenues. Strong revenue growth delivered $3.08 in EPS, up 17% on a comparable basis while advancing planned investments in our commercial and innovation capabilities. IDEXX execution drove solid full-year revenue expansion, with benefits from organic revenue growth supporting strong financial performance aligned with our long-term potential. IDEXX achieved 10% overall organic revenue growth for the full year, driven by 8% organic growth in CAG Diagnostics recurring revenues. Our global premium instrument installed base expanded 12% year over year, including benefits from nearly 6,400 InVue DX instruments. Full-year operating margins reached 31.6%, an increase of 90 basis points on a comparable basis supported by solid revenue expansion and productivity gains. Full-year EPS of $13.08 per share was up 14% year over year on a comparable basis from strong operational performance. These results were achieved through successful advancement of our innovation-driven growth strategy, including new platform launches, creating a solid foundation to build upon as we enter 2026. We'll discuss our 2026 financial expectations later in my comments. Let's begin with a review of our 2025 results. Fourth-quarter organic revenue growth of 12% reflected solid gains across IDEXX's major business segments, including 13% organic growth in CAG, 10% organic growth in Water, and 4% organic gains in LPD. Worldwide CAG Diagnostics recurring revenue increased 10% organically in the fourth quarter, including solid benefits from volume growth and average global net price improvement of 4%. US CAG Diagnostics recurring revenues increased 9% organically in Q4, including approximately 4% net price improvement and approximately 5% volume growth. Volume benefited from sustained new business gains, aided by high customer retention levels and expanded utilization including benefits from IDEXX Innovations. In the fourth quarter, IDEXX achieved a revenue growth premium compared to US clinical visit growth levels of approximately 1,100 basis points. Pressure on clinical visits remains a headwind to the sector with US same-store clinical visit declines of approximately 1.7% in Q4 and 1.9% for the full year 2025. Wellness and discretionary visits remain more pressured than sick patient visits, with wellness visits down 3.6% in Q4 while early signs of an aging pet population and benefits from IDEXX Innovations contributed to diagnostic frequency and volume utilization gains per clinical visit. International organic CAG Diagnostics recurring revenue growth was 12% in Q4 with gains from net price realization and solid volume growth enabled by new business reflected in our double-digit year-over-year growth of our international premium instrument installed base. International regions have maintained strong growth throughout the year, highlighting the significant global opportunity and strong demand for diagnostic solutions. IDEXX VetLab consumable revenues increased 15% organically in the quarter, reflecting strong double-digit gains in The U.S. and international regions. Consumable gains benefited from a 12% increase in our global premium instrument installed base, reflecting solid advancement across our Catalyst premium hematology, CetiView, and InVueDx platforms. In the fourth quarter, we placed 6,567 premium instruments, up 42% from the prior year. Quarterly placement results included strong gains in NVDX and SETIVAEU while sustaining Catalyst placement levels worldwide. For the full year 2025, we achieved approximately 22,500 premium instrument placements with excellent quality, reflecting significantly expanded EVI metrics bolstered by new and competitive catalyst placements nearly 6,400 NVDx instruments. The successful launch of NVDX contributed over $75 million in instrument revenue for the full year, supporting approximately 200 basis points of overall company growth. Rapid Assay revenues declined 3% on an organic basis in Q4. Rapid assay results were constrained by pressure on U.S. wellness visits and continued transition of pancreatic lipase to our Catalyst slide which had an estimated 4% headwind to Q4 revenue growth. Global Reference Lab revenues expanded 9% organically in Q4. Reference lab results in the quarter were supported by solid volume growth across regions and net price improvement. Volume expansion included new customer growth along with continued traction of innovations like IDEXX CancerDx in North America reaching nearly 6,000 customers. CAG veterinary software services and diagnostics with results supported by 12% recurring revenues Imaging revenues increased 13% organically in Q4, with momentum from our vertical SaaS strategy including double-digit growth in our cloud-based PIMs recurring revenue. In other business segments, water revenues increased 10% organically in Q4, with double-digit international revenue growth and solid gains in The U.S. Livestock, poultry, and dairy revenues increased 4% organically in Q4, supported by solid gains in The Americas. Turning to the P&L, Q4 operating profits increased 21% as reported and 17% on a comparable basis from the prior year including gross margin gains and modest operational expense leverage. Gross profit increased 15% as and 13% on a comparable basis, achieving 60.3% in Q4. This is an improvement of 60 basis points comparably adjusting for approximately 10 basis points of negative foreign exchange impact. Gross margin gains were aided by strong consumable growth and benefits from higher reference lab gross margins, offsetting headwinds from business mix on strong instrument revenue levels. Operating expenses were up 11% as reported and 10% year over year on a comparable basis in the quarter, reflecting increases in R&D and commercial investments aligned with advancing our innovation roadmap including recently announced expansions of IMVUDx, and CancerDx platform capabilities, the completion of our global commercial expansions. For the full year 2025, operating margins were 31.6%, an increase of 90 basis points on a comparable basis net of approximately 180 basis point benefit related to lapping a now concluded litigation expense. On a full-year basis, there was immaterial margin impact from foreign exchange effects. Q4 EPS was $3.08 per share, up 17% year over year on a comparable basis. In Q4, EPS benefited from strong operational results and a lower effective tax rate, including 7¢ per share in tax benefit from share-based compensation. Foreign exchange provided a $0.09 per share tailwind to the quarter net of hedge effects. Full-year earnings per share was $13.08, an increase of 14% on a comparable basis. EPS results were driven by strong operational performance in the year and include a combined $0.64 benefit from an accrual adjustment during 2024-2025 related to a now concluded litigation, a 10¢ positive impact from currency changes, and 35¢ in tax benefits from share-based compensation activity. Foreign exchange had an 80 basis point full-year revenue growth benefit and increased operating profits by $10 million and EPS by $0.10 per share, net of $1 million in hedge losses. Full-year free cash flow was $1.1 billion for 2025 or 100% of net income, aligned with our third-quarter guidance and ahead of our long-term goals with capital spending of $125 million or approximately 3% of revenue. We allocated $1.2 billion to repurchase 2.4 million shares at an average cost per share of $500.06, supporting a 2.7% year-over-year reduction in diluted shares outstanding. Our balance sheet remains in a strong position and we ended 2025 with modestly lower leverage ratios of 0.5 times gross and 0.4 times net of cash. Turning to our full-year 2026 financial outlook, IDEXX is planning to deliver solid organic revenue growth and profit gains building on strong commercial execution and extensible new platforms. We're providing initial guidance for revenue of $4.632 billion to $4.72 billion, an increase of 7.6% to 9.6% on a reported basis, reflecting 7% to 9% organically. CAG Diagnostics recurring revenues are expected to grow 8% to 10% organically for the year, representing an increase of approximately 100 basis points at midpoint compared to our 2025 results. At current exchange rates, we expect foreign exchange to have an approximate 60 basis point benefit to full-year revenue growth largely in the first half of the year. At midpoint, our 2026 organic CAG recurring revenue growth outlook incorporates expectations for global net price realization of approximately 4%, reflecting a modestly lower net price realization than 2025. In The US, we anticipate net price improvement of approximately 3.5%, and have incorporated declines in U.S. same-store clinical visit growth of approximately 2%, similar to the full year 2025 given ongoing macro and sector constraints.
Andrew Emerson: These targets incorporate continued solid global growth from IDEXX execution and innovation drivers including new customer gains and increases in testing utilization. The higher end of our CAG Diagnostic recurring revenue growth outlook captures the potential for improved sector and same-store growth trends, while the lower end of the range calibrates for further potential effects of macro and sector end pressures. We're planning for solid placement levels for full year 2026 across our premium instrument installed base categories, including 5,500 InVue DX instruments. We expect declines in CAG instrument revenues in 2026 as we lap the rapid expansion of IDEXX MUDX instrument placements and anticipate regional revenue mix dynamics. Our 2026 reported operating margin outlook for the full year is 32% to 32.5%. On a comparable basis, this reflects an outlook for 30 to 80 basis points of improvement year over year net of approximately 30 basis point benefit for foreign exchange and an approximately 20 basis point headwind from lapping a prior year now concluded litigation accrual adjustment in 2025. We're planning for solid gross margin gains on a comparable basis supported by growth in CAG Diagnostics recurring revenues, benefits from lab and operational productivity initiatives, and expansion of our high-margin cloud-based software business. We've captured impacts of tariffs under current laws in our outlook and we remain well-positioned to maintain supply continuity to our customers. Our 2026 EPS outlook is $14.29 to $14.80 per share. This reflects an increase of 10% to 14% on a comparable basis net of a 1% reported growth headwind from comparison to the prior year now concluded litigation accrual adjustment. Our EPS outlook includes $34 million of net interest expense at prevailing rates and a foreign exchange benefit of approximately 22¢ year over year at rates disclosed in our earnings release, net of established hedge positions. We're planning for a consistent year-to-year tax rate when excluding share-based compensation effects. In terms of sensitivities to changes in foreign exchange rates, we project a 1% change in the value of the US dollar would impact full-year reported revenue by approximately $16 million and operating income by approximately $5 million net of hedge effects. Our 2026 free cash flow outlook is for a net income to free cash flow conversion ratio of 85% to 95%, aligned with the long-term potential and reflects capital spending of $180 million or approximately 4% of revenues. The outlook incorporates capital deployment towards share repurchases to support a 1% to 2% year-over-year reduction in diluted shares outstanding while maintaining leverage ratios similar to the past couple of years. Regarding our Q1 outlook, we're planning for overall reported revenue growth of 11.5% to 13.5%, including approximately 2.5% growth benefit from foreign exchange at rates outlined in our press release. Organic revenue growth of 9% to 11% includes approximately 1% to 1.5% growth benefit from CAG instrument revenues supported by ongoing momentum in IVDX analyzer placements. As noted, growth from capital revenues is projected to become a headwind to overall growth over the balance of the year as we lap the launch of InVueDx. We expect Q1 CAG Diagnostic recurring revenue growth of 8.5% to 10.5%, which includes approximately 50 basis point benefit from equivalent days at midpoint and US clinical visit trends and pricing expectations aligned with the full-year guidance levels. Our Q1 reported operating margins are planned for 31.4% to 31.9%, reflecting solid expansion of comparable margins in the quarter aligned with our full-year expectations, net of approximately 90 basis point headwind from lapping a discrete litigation accrual adjustment in the prior year quarter and approximately 30 basis point benefit from year-over-year foreign exchange impacts. We're well-positioned entering 2026 with an expanded global field team and innovative platforms aimed at solving customer challenges. This concludes our guidance update, and I'll now turn the call over to Jay for his comments. Thank you, Andrew, and good morning. IDEXX delivered a very strong fourth quarter closing a year marked by exceptional execution across the organization and meaningful strategic progress towards our long-term potential. In many respects, 2025 was a defining year for our company. We successfully scaled multiple transformative innovations, expanded our commercial presence in key international regions, and continue to demonstrate the resilience and durability of the IDEXX business model pressured by broader economic uncertainty. Our performance reflects the strength of that model, one built on customer-centric innovation, high-quality, durable, recurring revenue, and solutions deeply embedded in the daily workflows of veterinary practices. This year, through significant innovations like InVueDx, CancerDx, VEL, and Catalyst Cortisol, our solutions provided valuable insights in the productivity lift sought by our customers. The human-animal bond continues to deepen and pet owners remain committed to providing a high standard of care, given amid what for many of them, may be challenging household economics. This commitment is especially evident in the aging pet population. Owners and veterinarians alike are prioritizing early detection, proactive screening, and longitudinal monitoring. Early signs of aging pets with solid visit growth for canines five-plus years old more weighted to non-well supported a second consecutive quarter of improving visits in this important segment. Additionally, in the fourth quarter,
Jay Mazelsky: diagnostics frequency, the percentage of visits that include diagnostic testing expanded highlighting the structural demand for advanced diagnostics and the role it plays in driving the broader veterinary care envelope. Our commercial organization continues to be a core competitive advantage for IDEXX. In Q4, we completed the targeted expansion of our commercial footprint in geographies where we see significant long-term opportunity to increase diagnostics adoption and utilization. These new team members were fully onboarded and trained and are now active in their respective territories in Germany, The United Kingdom, and Australia. Alongside an expansion in The United States. By enhancing commercial capabilities in these markets, we meaningfully reduce the number of accounts assigned to each representative. This enables more frequent higher quality interactions with clinics and supports deeper integration of diagnostics into everyday care protocols. Our experience consistently shows that increased engagement leads to higher utilization, stronger customer satisfaction, and better medical outcomes. CAG Diagnostics recurring revenue growth in the quarter was driven by a combination of strong volume gains, adoption of new innovations, and continued success in premium instrument placements. Diagnostics frequency and utilization per visit remained important contributors, benefiting both patient care and clinic economics. Customer retention remains in the high nineties for our global CAG Diagnostics business. This level of loyalty underscores the value veterinarians place on the reliability, consistency, and clinical performance of IDEXX Solutions, and the strength of the partnerships our teams build over time. Our commercial team delivered an exceptionally productive year, achieving record instrument placements, and sustained double-digit economic value growth, including contributions from 6,200 Catalyst placements while delivering on our AVUDx agenda. We continue to see solid momentum in both competitive convergence and greenfield accounts. For the full year, we delivered double-digit growth at our premium instrument installed base, which now includes nearly 78,000 catalyst analyzers globally. Expanding the premium instrument installed base provides multiple future growth vectors for the business, including benefits from higher diagnostics, utilization, and new menu additions over time. We recently announced several new innovations including expanding the IDEXX CancerDx panel to include canine mast cell tumor detection with availability expected midyear 2026 in North America. This builds off a successful start to canine lymphoma commercialization, where we crossed an important milestone last quarter. Now more than half of lymphoma tests submitted are for screening versus as an aid in diagnosis. Building off the successful start in North America, we are on track for the next stage of expansion, a Q1 international rollout of IDEXX CancerDx. Getting back to mast cell tumors, they are among the most common cancers in dogs, yet they can be difficult to identify early. These lumps and bumps may go unnoticed, particularly in dogs with long coats, often resembling benign lesions even when detected. This creates uncertainty for clinicians and pet owners alike and underscores the need for tools that support earlier, more confident assessment. Building on the strong momentum of the CancerDx panel, mast cell tumor detection will be added at no additional cost, with no change to specimen requirements or workflow and sustained two to three-day turnaround in The United States. This expansion allows veterinarians to screen at-risk dogs for approximately a third of the most common cancer types during routine wellness visits and to evaluate symptomatic patients when mast cell tumors are suspected. Importantly, it integrates seamlessly into existing workflows, reducing friction while expanding clinical insight. We believe this enhancement further strengthens CancerDx as a foundational tool for early detection and informed decision-making. We have also seen exciting new developments with the first cancer DX marker for canine lymphoma. Evidence shows that we could detect lymphoma signals up to eight months prior to the clinical manifestation of the disease. This means crucial months of earlier detection and treatment potential. As patients undergo treatment, the lymphoma test has also been proven to be useful for repeated testing to monitor remission during shock chemotherapy, a common treatment for canine lymphoma. With this treatment monitoring use case, using reasonable assumptions, we see an addressable opportunity for canine lymphoma monitoring with 130,000 tests per year in North America alone. As is the case with the broader diagnostics category, the more we test, the more we learn. IDEXX InVue DX continues to be a transformational platform, redefining point-of-care cell cytology across several high-volume use cases. The rollout of InVue DX represents one of the most successful product launches in IDEXX history, and the fourth quarter reinforced that trajectory, bringing InVue DX placements for the year to nearly 6,400. This performance was driven by strong customer demand, operational readiness, and highly positive clinician feedback, exceeding our initial expectations. In December, we reached an important milestone with a controlled launch of fine needle aspirate or FNA on NVUDX. While the initial menu is for mast cell tumor detection, we view the FNIC capability as a platform of its own. As with all new platforms, this will be a controlled launch that builds over time ensuring that the testing performance and customer experience are exceptional within the real-world environment of a veterinary practice. FNA is a critical diagnostic technique used daily to evaluate masses and skin lesions. Historically, this process has been manual, time-intensive, and dependent on specialized expertise and external lab interpretation. By automating key steps and applying AI-powered analysis, InBioDX allows technicians to prepare a sample and receive results within minutes while the patient is still in the clinic, with the option of a one-click pathologist evaluation for additional expertise and review of FNA images and results. The initial FNA rollout focuses on mast cell tumor detection, one of the most clinically significant canine cancers. Together with CancerDx, these innovations will give clinicians confidence at every step from screening to diagnosis so they can act sooner and faster, growing cancer in or out with certainty. Our Catalyst platform continues to reflect IDEXX's technology for life strategy, delivering sustained value to disciplined menu expansions that enhance diagnostic confidence and efficiency at the point of care. In 2025, we built on this strategy with growing adoption of Catalyst pancreatic lipase and the launch of Catalyst Cortisol, both of which enable veterinarians to make faster, more informed decisions during the patient visit. Catalyst pancreatic lipase introduced in late 2024 saw broad uptake throughout 2025 as practices incorporated it into routine workflows to support timely pancreatitis assessment. The test provides rapid quantitative results for both dogs and cats, with reference lab quality helping veterinarians address clinically challenging conditions with greater confidence. Adoption across tens of thousands of practices supported diagnostic frequency gains and improved patient outcomes. We extended this momentum with the launch of Catalyst Cortisol in the third quarter, making the third Catalyst menu expansion in under a year. When including Catalyst QC, this test delivers real-time cortisol measurements to support endocrine diagnosis and ongoing disease management, allowing clinicians to move quickly from testing to action. Early adoption exceeded expectations and contributed to solid consumable growth in the second half. Together, these high-impact menu additions underscore platform benefits of our robust installed base and Technology for Life strategy. We're able to rapidly expand new specialty tests like these across a large global installed base of approximately 78,000 catalysts. For example, in North America, over 50% of Catalyst users adopted the pancreatic lipase test in the first twelve months. Our software ecosystem remains an important growth driver and a source of strategic differentiation. IDEXX software is deeply integrated across diagnostics, imaging, client communication, and practice operations, helping clinics fully realize the value of their diagnostic investments. In 2025, we saw strong performance across our practice information management systems, as well as continued momentum in pet owner engagement tools such as Velo. Our EasyVet and Neo platforms delivered double-digit installed base growth, with particular strength among multi-location practices and corporate customers. We closed the year with record quarterly bookings, reflecting contracted future ARR signaling strong momentum for IDEXX's software solutions. Clinics continue to choose our cloud data platforms for their modern interfaces, diagnostics interpretation, and ability to scale efficiently across locations with centralized workflows and data. Velo continues to expand, growing its users over 40% from last quarter, and nearly tripling last year. Clinics using Velo report improved communication with pet owners, increased visit frequency, and better compliance with diagnostics and treatment plans compared to practices relying on more basic engagement tools. We see VEL as a powerful complement to diagnostics, helping clinics translate clinical insight into action. We also made exciting progress in our diagnostic imaging business, where we launched in early January the most advanced radiography system in veterinary medicine, one that combines superb image quality at the lowest dose of radiation, an important consideration where seventy-five percent of technicians are women of childbearing age. Our solution enables a connected diagnostic imaging workflow for veterinary professionals, where AI-powered viewer automates key clinical measurements, and customers can now submit and review telemedicine cases directly through Webhacks. As we close out 2025, IDEXX remains firmly committed to creating long-term value for our customers, employees, and shareholders. Over the past year, we strengthened our commercial foundation, scaled impactful innovations, and reinforced our leadership in diagnostics and software. We enter 2026 with confidence in our strategy, our teams, and the opportunities ahead. The human-animal bond continues to deepen, and expectations for quality veterinary care continue to rise. IDEXX is uniquely positioned to support this evolution by delivering diagnostic and digital tools that enhance productivity, improve outcomes, and support sustainable practice growth. I want to close by thanking our 11,000 employees around the world. Your dedication to innovation, quality, and customer partnership is what enables IDEXX to deliver consistent performance year after year. We're excited about the year ahead and look forward to continuing to build on this momentum. With that, I'll open the line for Q&A. Thank you.
Operator: A question, please say go. If you are using a speakerphone, please make sure your mute function is turned off to allow your signal to reach our equipment. A voice prompt on the phone line will indicate when your line is open. Please state your name and company before posing your question. Again, press star 1 to ask a question. And our first question is going to come from Chris Schultz. Please go ahead.
Chris Schultz: Great. Thanks so much for the question. I just want to start on the vet visit side. We're obviously seeing a pretty wide divergence between wellness and non-wellness visits. Sounds like part of that from your perspective is the pandemic puppy starting to age here. But I was just interested to see how you're thinking about this evolving in 2026 as we think about wellness versus non-wellness visits in that negative two percent overall number. And maybe just related to that, on price, I know you're targeting a bit less price this year. What are you seeing at the vet practice level in terms of price increases? I guess, are you seeing any signs of some of these corporate practices starting to moderate price at all this year as well? I'm just trying to get some my hands around some of those dynamics. Thanks so much.
Jay Mazelsky: Yeah. Good morning, Chris. Yeah. Just in terms of let me start with the vet visit profile first. We have seen some headwinds more on the wellness side. We think that's at this point, really macro probably in the lower end economic demographic households where there's obviously some financial pressures. Less so on the non-wellness side, obviously, and we have seen some green shoots now, two quarters in a row with those pets five years plus starting to grow. So we think that's positive. We think that likely reflects the pandemic adoption boom and these pets aging. And we'll likely continue going forward. In terms of 2026, we just kept that baseline of about 2% decline until, you know, I think until we have clear evidence that that's gonna improve with that that was a, you know, an appropriate path to take. From a vet inflation standpoint, you know, maybe on the vet services side or from the corporate perspective, we have seen some moderation. It's still running hotter than CPI. And I think that will come down over time. What we say is this, I think the corporate practices recognize that that may be an obstacle to getting care with some of their clients, and they're interested in being more aggressive and driving demand and patient traffic into their practices. So I think more to come as that develops.
Andrew Emerson: Yeah. And Chris, I'd just add on the visit dynamic, you know, just in terms of both the non-well and the wellness visits. We continue to see a really nice quality of visits overall. The frequency and utilization continues to expand in both categories. And so even in those, you know, groups in terms of the wellness and discretionary types of visits, when they are coming into the clinic, you know, we're continuing to see really positive momentum for the use of diagnostics, which I think is a key part of our strategy overall.
Jay Mazelsky: Yeah. Keep in mind that the non-wellness visits, you know, represent about sixty percent of the visits, but seventy to seventy-five percent of the diagnostics revenue. So this combination of what you know, Andrew put his finger on, which is they're using more diagnostics when they come in, so we call that frequency. But also it's more intensive. I think, an important factor to keep in mind just from a through a diagnostic lens. Thank you.
Operator: And our next question is going to come from Erin Wright from Morgan Stanley.
Erin Wright: So could you speak a little bit about the underlying drivers of the consumables growth? How should we be thinking about continuing mid-teens growth into 2026 or the cadence that we should be thinking about things here? What are the components of this? What will you lap? And then also, you know, I assume that InVue isn't necessarily directly contributing all that much in terms of meaningful consumables flow through as yet. So is there more to come on that front? What are you seeing in terms of that consumables flow through? And then if not, like, how do you think about when you enter into these contracts with placing an InVue, how is that translating into consumables growth across the entire portfolio? Thanks.
Jay Mazelsky: Yes. Let me just maybe set this up from an innovation standpoint and then I'll hand it off to Andrew who can provide some additional specifics. The approach that we take with putting platforms out in the market and growing our installed base with this overlay of technology for life has proved very successful in terms of driving relevant consumables testing. So if you think about Catalyst, with these three tests, over the last year plus with SmartQC, pancreatic lipase, and cortisol. We now have almost 78,000 catalysts on a global basis. And keep in mind, the way we incent our sales organization is really on quality of premium instrument placement. Catalyst being obviously an important one. But really across the board. So they're looking to make sure that we seasoned customers who are gonna use them and who have higher utilization patterns. So in terms of driving the consumables growth, it really is a combination of being able to grow our installed base of premium instruments and increase utilization intensity through innovation. And for InVue, that's part of the story of course, with cell cytology, blood morphology, ear cytology, and now FNA for lumps and bumps. And so that's tracking to, you know, plan in terms of consumables use itself. You know, in combination, it's all these things that are driving the type of performance we've seen in 2025 and incorporated into 2026 guidance.
Andrew Emerson: Yeah. Maybe just to add a couple of specific metrics there, you know, both for the full year and Q4. The install base actually expanded by about 12%, overall. So I think a really solid, economic, you know, view here of the expansion of the install base to Jay's point. That's supporting the consumable growth. You know, we also had a really exceptional new and competitive Catalyst placements in the fourth quarter. So we did over 1,350 new and competitive placements from a catalyst perspective on a global basis. We did over about 360 in North America. So yeah, really nice trajectory there. And, you know, we see rapid uptake of the new innovations that we deliver. You know, InVue, I think, you know, can sit can to be more the $3,500 to $5,500 per instrument. We're tracking well to that. That includes FNA, which will launch later this year as we previously announced, and, you know, we're excited by, you know, the expansion of that controlled rollout.
Erin Wright: Okay. And then just quickly on Reference Lab, you mentioned new growth. Is that U.S. Market or is it international? Where are you seeing the tangible market share gains? And then is it innovation that's really changing the game in terms of you winning business in that inherently competitive category? Thanks.
Jay Mazelsky: Yeah. We think we're doing really well on a global basis, and there have been a number of factors involved in seeing that reference lab growth. You know, first, we've invested heavily in the network, the reference lab network, so the customers get the type of service that they expect. You know, next day and in most cases, we've invested heavily in enabling infrastructure, whether it's lab information, systems and VetConnect plus localized outside The US. That's been important. Of course, the innovation story. Really across the board, whether you look at fecal antigen and, you know, our vector-borne disease. But cancer also has got a lot of attention both in terms of differentiation and having customers who don't use us as their primary reference lab send us samples. So in terms of competitive submissions, we're approximately 18% now. That represents, in many cases, a complete break for workflow. Veterinarians and customers really focusing and prioritizing on the patient, not who their primary reference lab provider is. They start with cancer as part of a panel and then, you know, we believe over time will give us more of their business. So I think it's all of those things in combination, which is, you know, created really strong differentiation in the reference lab business, and we're just seeing good growth as a result of that.
Operator: And our next question is going to come from Mike Ryskin from Bank of America.
Mike Ryskin: Great. For the question. I wanna ask sort of a big picture one on innovation. You guys had a really strong year for InVue placements in 2025. You know, beat all of your targets as you went through the year. I think you called out $75 million revenue contribution, in '25. Any way you could quantify what CancerDx was or what sort of total innovation contribution in '25 was? And what I'm getting at is, would be great to get a sense of how you think about InVue and CancerDx, what the dollar contribution for '26 would be. Just so we can look at the year-to-year comparison. Thanks.
Jay Mazelsky: Yeah. Mike, let just I'm gonna keep this high level, and, you know, Andrew may provide some specifics. The way we think about innovation, this direct economic contribution is obviously, you know, InVue revenue and consumable usage and sales as a result of that. But there's also a tremendous leveraged impact indirect economic benefits when you place capital. And it's very often placed through an IDEXX 360 type program inspires usage of our broader portfolio and including reference labs and software and anything that is part of that program. So we've seen, I think, as a result of innovation and overlapping innovation, cancer being a great example with FNA and IDEXX CancerDx with mast cell that's coming in 2026. A leveraged impact, a multiplier impact across our entire portfolio. I think customers feel like it all works better together. It optimizes their workflow. They're able to really focus on what they want to focus on, which is the patient, of course. And we take care of everything else.
Andrew Emerson: Yeah. I think Jay hit it well just in terms of a couple specifics. Yeah. We haven't broken out the CancerDx component of that. But I would say it's a direct revenue contribution, but it's modest. You know, I think the standalone test pricing is about $60. And when it's included in a broader diagnostic panel, which we're seeing an increasing percent of the test being done that way, it's about $15. So the direct contribution here isn't super large. But to Jay's point, I think it's really the opportunity, yeah, to continue to see broader adoption of our screening and core blood work. And over time, I think, you know, it'd be really compelling, you know, to see the direct contribution as well. You know, we believe that for CancerDx, you know, the, you know, opportunity to expand that panel or profile is about $1.1 billion over time. So yeah, it's a really meaningfully large category that, you know, we continue to advance, you know, through the innovation, including the launch of mast cell tumors, as Jay highlighted.
Jay Mazelsky: Yeah, one way to think about the innovation impact. If you take a look at Catalyst One, and we began shipping that in late 2014, and you compare its economic value ten plus years later as a result of coming out with all the slides and the innovation we have. It's about two and a half times as impactful from an EV standpoint. And so that's always been our strategy, the testing, you know, drives differentiation, not just within that modality, but across the enterprise. And that the instruments that we have placed in the case of Catalyst nearly 78,000, they're just they're used more. And they're therefore, worth more to the company. Okay. Okay.
Mike Ryskin: And then, if I could follow-up on price. You guys are talking about 4% total company next year, 3.5 in The U.S. It seems like you're bringing that down as you had previously said to be back within the LRP. I'm just curious what the conversations with vet clinics have been on pricing power the last couple of years. I know that in '21 and '22, it was sort of understood that with inflation, what it was, you know, everyone's gonna be taking a lot more price. Are you having more conversation with vets on that? Is there any pushback? Is there any dialogue with you on how to manage that? I know, you know, you have your long-term contract and relationships but just wondering if that's becoming a more common discussion point with your customers.
Jay Mazelsky: Yeah. Thanks. You know, it hasn't been a big flashpoint with customers. They recognize that during the period of high inflation, they and their partners need to take a little bit more in price. The cost went up. They wanted to invest back in their practices, their staff, and I, you know, I think that's normal. If you take a look at over the last four plus years, we've remained pretty close to where the CPI is. A bit above, but not much above. I think what we've seen now is more volume-based recovery in our business. And so, you know, it's more balanced. We're getting back to, you know, I think a volume-driven top-line growth profile, which is healthy. Inflation has subsided. It's a little bit under 3%. So I think it just reflects getting back to more of a historical baseline of what we've seen in the business. Alright. Thank you.
Operator: And our next question is going to come from Jon Block from Stifel.
Jon Block: First one, pretty straightforward. Second one, not so much, but just on the first one, you know, Jay or Andrew, any thoughts or color on the 2026 international CAG Dx recurring revenue growth rate versus The U.S.? Just as we sit here and sort of contemplate the year to tie to the worldwide, I know you've got some of those commercial investments going on in international markets and arguably, of the innovation is more in an infancy stage. Relative to The U.S. So any color there would be great. And I'll just ask a follow-up.
Jay Mazelsky: Yeah. So, you know, we think the international region offers and we've shared sort of the assumptions behind this profile. A bit of a higher growth profile than The U.S. over time. Part of that just comes back to where they are in terms of diagnostics usage, how often it's included, it's more of a sick patient testing market. We've made some very substantial investments over time, not just in that commercial piece as important as that is, we've shared that we invested in Germany and UK, Ireland, and Australia. But also the reference lab network, all the enabling infrastructure, which is important from a just a customer success standpoint. So we do think the international opportunity is a bit higher. From a CAG Diagnostics recurring growth rate. It obviously still requires sector development, but all the pieces are in place. And so what we've seen is that we've sustained double-digit growth now for multiple years. And I think that's just the result of the pieces that we've put in place and the focus that we have but also the inherent customer opportunity. Okay. Thanks for that. And then I maybe the more detailed one. Andrew,
Jon Block: can you help me out with this if I've got these numbers correct? So the 1Q26 CAG Dx recurring revenue growth guidance of 9.5% at the midpoint is off of 4.5 comp. So the two-year stack for the first quarter is 14%. And that includes a 50 bps days tailwind, if I heard you correctly. The full year '26 guide for CAGDX recurring is nine at the midpoint off what you did in eight. So a 17% stack. So can you just talk to why the 1Q guidance is a decent discounted full year on the stack basis? Maybe tell us what you saw in the first month of the year, with some weather challenges that seem to be out there. Any color there would be helpful. Thanks, guys.
Andrew Emerson: Yeah. Thanks, Jon. So I think just in terms of Q1, the performance that we had outlined, what I would highlight is really consistent with the full-year outlook overall. Certainly, are picking up some days benefit, which I think, you know, would be captured in that, 4.5% metric that you quoted. We had a bit of a days' headwind last year, and so we're picking that back up to some degree. So when you normalize for those, I think it's a relatively more consistent story. Certainly, I think, you know, from a clinical visit, you know, pressure, you know, it's an area that we wanna make sure that, you know, we continue to understand. In Q4, we saw about a 1.7% decline in overall clinical visits. So we're planning for about 2% for both Q1 and the full year. So it's a metric we'll continue to watch as well as, you know, some pricing dynamics as we get into '26. There's a bit of a headwind into the full-year math here. So I think the way we look at it is it's actually a relatively consistent story, and, you know, we're really focused on executing against the innovation that we have. But there's nothing I'd call out specific to, you know, January at this point. You know, we won't get into, you know, kind of a week-to-week or month-to-month, you know, metric here, but we feel good about, you know, the Q1 positioning overall.
Jon Block: I'll follow-up more offline. Thanks, guys.
Operator: And our next question is going to come from Daniel Clark from Leerink Partners.
Daniel Clark: Great. Thank you so much. Just had a question on InVue placements. Where are we sort of in terms of placements into the larger corporate practices? And how are you thinking about placements into those groups in the 26 guide?
Jay Mazelsky: Yeah. We're not placing InVue into corporate practices. As I've shared in the past. It tends to be a little bit longer sell-in cycle. They like to do the pilots, and then they wanna make sure that there's both clinical and economic benefits. So they approach it a little bit differently than independent practices, but we're now well into the sell-in and placement within the corporate groups.
Daniel Clark: Gotcha. Thanks. And then just one on sort of divergence in wellness and non-wellness visits. When we think about the relative stability of non-wellness heading into 2026, if that does hold, like, would it be fair to kinda take the second half of '25 run rate for non-wellness and extrapolate that forward, or, like, how should we think about kind of that run rate into '26 in the context of the two percent overall visit decline guide that you gave? Thank you.
Jay Mazelsky: Yeah. So the, you know, the two percent for '26 is the baseline, and that includes both well and non-well, you know, roughly within what we saw in '25. What I would say is the non-well is more resilient to the macro pressures. Obviously, you know, pets are getting sick. They need to come into the practice. So I think, you know, that they tend to be a bit more resilient. We also expect that the pandemic, you know, a dog and cat puppy and kitten boom will, you know, continue and those green shoots that we've seen will continue to modestly grow over time as these pets age and require more health care. So, you know, I think it's reflected at this point in the 2% decline guide for '26. And, you know, hopefully, as time progresses, that improves.
Operator: And our next question is going to come from Brandon Vazquez from William Blair.
Brandon Vazquez: Excuse me. Thanks for taking the question. Maybe you can start pivot us a little bit. We spent a lot of time talking about the good innovation on the hardware side. You can spend a couple of minutes talking about the software, especially some of the pet owner-facing ones like Velo. You know, I don't think we've gotten a good update on those. How are they contributing to results? And then more specifically, are they really helping you offset any of this weakness we're seeing in end markets? Are you any accounts with it or using things like Velo, are you seeing a better pull through of the portfolio?
Jay Mazelsky: We are. You know, the software piece is a very, very important strategic business within the overall IDEXX business. It's a great business. In and of itself, software business. It's growing strongly. We see good profitability. There's a nice leverage impact in terms of diagnostics. We've grown our cloud-based PIMs placements at double digits. So we're a leader within cloud-based within the North American market, something that we think is very important. With that, from just an ARR standpoint, we see competitor engagement, application, Velo, is getting excellent traction. We shared some statistics both quarterly from a sequential basis and year on year. We know that those customers who use our software solutions use more of our diagnostics with specifically with reference to Velo we see fewer no-shows or clinical visits, more diagnostic usage, all the things that you would expect. So it is an important part important offset. Now it's still relatively small, compared to our total installed base of customers who used diagnostics. But we're very bullish on it. And we think it's an important element of really driving a solutions portfolio.
Andrew Emerson: We saw solid double-digit growth in software on a recurring basis in the fourth quarter. And to Jay's point, yes, I think he had highlighted Velo expanded users by about 40%. So, we're seeing some nice traction there, and, you know, we're gonna continue to build off of that momentum. But there's strong demand, I think, from a customer perspective, you know, to continue to move to this vertical SaaS orientation that I think we're amplifying through the different offerings that we have.
Brandon Vazquez: Okay. And as a follow-up here, you know, as we're a little early playing with the numbers still this morning, but it looks like to get to the 26 guidance, you don't really need to push your utilization metric too much. Even when you back out price next year to kind of be within the midpoint of that range. But I also hear you making comments about how FNA is in controlled launch, and you maybe haven't even really gotten into the corporate accounts in with InVue yet. Correct me if either of those are wrong, especially on the latter. But I guess the question being, one, is that correct? Like, is utilization largely consistent through '26? And then two, are some of these opportunities to maybe push utilization even higher? You get to see some of the benefits of innovation in the utilization bucket. Thank you.
Andrew Emerson: Yeah. So, Brandon, just in terms of the '26 guide, you know, one thing that I would highlight is, you know, if you look at the midpoint from a comparability on the 8% in 2025. You know, where midpoint is about 9% for 2026. So about a 100 basis point improvement, you know, year to year. A lot of that is driven by volume. And certainly it comes with the expansion of our customer base but also just maintaining and growing strong utilization metrics overall led by some of the innovation benefits that we have. So I think you captured the controlled launch correctly, you know, from an FNA standpoint, you know, that'll be something that helps us in 2026. We've captured that in our outlook already. And as Jay just highlighted, you know, I think we are placing InVue into corporate accounts at this point. So, that's an area that, you know, we've been working towards and, you know, typically takes a little bit longer than, you know, independence. But we feel good that we have a nice momentum there. We're targeting about 5,500 InVue placements, for 2026 as well. So, you know, feel really good about the innovation and continuing to help our customers drive growth. You know, I think we're just being cautious, you know, relative to the macro environment and the sector trends that we've seen on areas like clinical visits that, you know, continue to be more muted. But overall, the business is performing quite well despite that.
Operator: And our last question is going to come from Andrea Alfonso from UBS.
Andrea Alfonso: Hi. Good morning, everyone. Thanks for taking my question. So I just was curious about the dynamics underpinning the gross margin mix in the quarter. It looks like pricing growth was pretty stable sequentially, although you did cite some pressure from mix. And I guess as we think about the 2026 margin expansion of 30 to 80 basis points organically, how do we think about your gross margin improvement stacking versus that 30 to 80 bps? I think you mentioned the moderation in pricing in The U.S. and obviously still calling out the mix impact. And then I guess the other part of that algorithm is how do we think about SG&A growth recognizing some of the ongoing commercial investments you're making. Thanks so much.
Andrew Emerson: Yes. Thanks, Andrea. Just in terms of what we saw in Q4, we did have modest pressure just from strong instrument revenues in the quarter. Yes, I think we had highlighted that on the call. But we still delivered about 60 basis points comparably from a gross margin expansion standpoint. So quite solid on the improvement that we see on gross margins. And then for the quarter, we also saw about 120 basis points of operating margin improvement as well. So quite solid there as well. That included investments that we were making. Jay had highlighted we completed some of the expansions that we're expecting to be announced about midyear. So that was factored certainly into the overall SG&A growth as well as continued investment in areas like innovation, the strong R&D number as well. So that's how the quarter played out. I think that was largely in line with our expectations. You know, I think the implied midpoint was right around, you know, those same metrics. As we think about 2026, you know, our guidance for operating margin improvement is the thirty to 80 basis points that you'd highlighted on a comparable basis. That's largely gonna be gross margin led. Yeah. I think we continue to see benefits from a gross margin perspective there as we invest back into the business for the longer term. So we expect most of that would likely be gross margin led overall and we'll be we feel good about, you know, kinda where that positions us as we invest back into long term.
Jay Mazelsky: Okay. Thank you for the questions. We'll now conclude our Q&A portion of this morning's call. It's been a pleasure to review another quarter and full year of strong IDEXX results. So thank you for your participation this morning. And we'll now conclude the call.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.